Operator: Ladies and gentlemen, thank you for standing by. And welcome to today's program entitled Brookfield Asset Management 2020 Year-End Results Conference Call and Webcast. At this time, all participants' lines are in a listen-only-mode. After the presentation, there will be a question-and-answer session.  Please be advised, that today's conference is being recorded.
Suzanne Fleming: Thank you, operator, and good morning, everyone. Welcome to Brookfield's fourth quarter and full year 2020 conference call. On the call today are Bruce Flatt, our Chief Executive Officer; Nick Goodman, our Chief Financial Officer; and Adrian Foley, President and COO of our North America Development Group within Brookfield Properties. Bruce will start off by giving a business update, followed by Nick, who will discuss our financial and operating results. And finally, Adrian will give an update on our residential single family business. After a formal comment, we'll turn the call over to the operator and take analyst questions. I'd like to remind you that in today's comments, including in responding to questions and discussing new initiatives and our financial and operating performance, we may make forward-looking statements, including forward-looking statements within the meaning of applicable Canadian and US securities law. These statements reflect predictions of future events and trends and do not relate to historic events. They're subject to known and unknown risks and future end results may differ materially from such statements. For further information on these risks and their potential impacts on our company, please see our filings with the securities regulators in Canada and the US and the information available on our website. Thanks. And with that, I'll turn it over to Bruce.
Bruce Flatt: Thank you, Suzanne, and good morning, everyone on the call. Despite the extraordinary circumstances of 2020, we ended the year with our best quarter on record. For the year, we earned a record level of FFO and cash available for distribution, as well. All of this was achieved despite roughly 20% of our businesses being impacted during the economic shutdown. I use this point to underscore for you, one more time, the strength of our capital structure and the long-term nature and resiliency of our asset management franchise and the businesses that we own. The environment in 2020 was unusual, to say the least. Just a few points. We saw GDP drop in almost every country, unprecedented stimulus put in the economies, dramatic increases in unemployment rates and interest rates dropping to effectively zero in almost every major market. As we now look into 2021, we are seeing positive momentum in global markets, low borrowing costs, the pharmaceutical companies have come through in amazing time and the vaccines are now being rolled out. We expect the economies will normalize as the at-risk populations are vaccinated. We are starting to see this happen now, although unevenly, and as governments and people get comfortable enough to resume normal life, we expect to see a strong recovery in economic numbers starting now and into next year.
Nick Goodman: Thank you, Bruce, and good morning everyone. So we ended the year with very strong financial results and have an equally positive outlook for the year ahead. Our asset management business continues to benefit from long-dated predictable revenue streams. As we execute on our next round of flagship fundraising, and scale our other strategies, we expect to see another step growth in fee revenue. In the current environment, we expect to be harvesting capital by selling mature assets. In the last few months, we have advanced and closed a number of asset sales, and we expect that momentum to continue in the coming months. We also believe our operations are well-positioned to deliver growth as we emerge from the current economic recession. Before I get into the financial results for the quarter, I want to highlight some of our recent and upcoming capital recycling initiatives. Across our private funds, and directly on our balance sheet, we have many investments where we have executed our business plans. That created significant value and we're now thinking about monetizing to realize profits, return capital to our investors or reinvest the proceeds into the business. As transaction activity ramped up in the third quarter of last year, we restarted several sales processes that had been postponed from earlier in the year.
Adrian Foley: Thank you, Nick, and good morning. Today, I'm going to talk to you about Brookfield Residential, wholly owned North American home builder, and developer of residential lots. Just so we're clear on nomenclature, we currently have three businesses. First, we buy new land and title it and split it into lots to sell. We then sell those lots to someone who builds a house. Second, we sometimes buy those lots ourselves, and we build houses. Third, in our credit business, we use this specialized knowledge we have to lend on some lots when others want to control those lots, but not put up the capital. Brookfield first invested in this business in 1987. And since then, it has delivered a gross IRR on invested capital of 22% on a compound basis for 35 years. That's an amazing multiple of capital. Today, our business generates over $600 million in operating cash flows annually. The value of the land we currently own is about $7.5 billion at today's prices on an undiscounted basis. And the majority of these land positions will be converted to cash over the next 10 years. The current equity value is approximately $3 billion and our outlook for the business is very positive. We believe we are well-placed to continue delivering very strong returns on equity. We operate today in approximately 30 masterplan communities, in 100 neighborhoods in 12 cities across North America. Annually, we build on average 4000 homes and sell an additional 4000 lots to other builders. As one of the top five residential landowners in North America, we control approximately 85,000 lots, which equates to just over 10 years' worth of supply in the markets we operate. You take a disciplined approach, and proactively manage that land book to deliver consistent returns for Brookfield. In addition to this, we support our credit group who lends money to our homebuilder friends, producing good returns to us at a lower risk, as we truly understand the value of what we are lending on. Our long term strong returns can be attributed to a few things. One, leveraging greater Brookfield knowledge, we use our strategic land investment lens to control assets in the right place at the right time; two, creating value through thoughtful planning and product segmentation; and three, having a homebuilding business to monetize that land value when third-party builders pause or step back. The business of entitlement land development and master planning is time consuming and requires very specialized skills. There are a few who do it, a small number who do it, and also have the capital to do it well. It requires a detailed technical knowledge of the entitlement process, a product knowledge that maximizes land values, and capital management to invest and absorb land uses efficiently. When properly executed, it generates excellent risk-adjusted returns, and significant cash flows over long periods of time. Moving to the current situation, which I'm sure many of you are interested in, for many reasons. Over the past 12 months, we have seen the new home market respond positively to structural pent up demand. The advent of sub 3% mortgage rates greatly increasing consumers buying power, coupled with a significant drop in the supply and the use time market has produced a strong demand for new homes. Maybe the strongest I've seen in my 30 plus years doing this, at least on par with 2005, 2006. The difference now, the fundamentals are much, much better. The US new home industry saw over 800,000 new single family sales in 2020, an increase of approximately 20% from 2019. And the active inventory in the market, that's the use times available for purchase, down by 35% at the end of 2020. Our own home sales grew six times from the low point in April through July, August and September and this increased demand has continued. We finished the year with over 3500 sales and 15% increase in year-over-year performance, with over 30% increase when you offset for eight weeks of almost zero sales when the world totally shut down. We enter 2021 with over 1900 homes in backlog, that's 50% higher than our 2020 number. In addition to strong sales, we've seen home pricing grow by approximately 10% in all of our US markets, and we forecast 2021 and 2022 to have a similar growth trajectory. Assuming all performer costs remain the same, about 70% of the home price appreciation drops to the land, and therefore our margins will improve appreciably. The result of this generates enormous upward revaluations of land value. When we look some years ahead at forecasted demand, our view is that the land on housing business is in a strong position. Known demographic shifts driving heavy household formation across many markets, and we believe there is a strong need for housing that is located and priced correctly, both for sale and for rent. The past 10 years have seen an average of just over a million multifamily and single family housing starts annually. That's well below those demographic drivers. We believe we will see continued demand in the next decade, with the lots of industry largely unable to keep pace with the formation of households. The top 10 public builders have grown their market share to approximately 40% of total housing starts and a desire to control lots through landline structures off balance sheet. This is where it gets exciting, as we both sell lots of these home builders and sometimes finance their lots. There are a few others that compete with us. We anticipate increasing our land manufacturing to become a supplier of a greater number of lots for public builders, while also looking to grow our own housing business under the land growth umbrella. This demonstrates the power of the Brookfield business model, finding alternative avenues to invest capital while always being focused on earning excellent returns. The pandemic has accelerated a series of innovations in the way home builders find housing, accesses for viewing purposes, conduct their own evaluation of pricing and ultimately, purchase homes. We have spent operationally in the past 12 months a series of times repositioning our digital sales operation and the manner in which we speak to our customer. Our sales environments are open virtually almost every hour of the day and you can physically access our homes at your leisure from 7am to 9pm, seven days a week, often without meeting another person. We provide you with transparency in our pricing and offer our services virtually or in person to bring you closer to the home buying purchase. You will shortly be able to view, design, and purchase your home online with a Purchase Now option, and if you have a home to sell, we will provide you with an avenue to monetize that value, all while sitting on your sofa at home. A remarkable step forward in reducing unnecessary friction in the home buying and homeownership process. We believe the advent of new technologies like this will produce lower costs of sale moving forward. And these advances in operating efficiency will drive increased lot value, as a reduction in costs will also flow to the land lot pricing. In closing, the industry has enjoyed considerable tailwinds in the last 12 months and we foresee this continuing during 2021. We remain excited about the long term prospects of our growth in both our controlled land position and our housing operations. Thank you and I'd like to hand the call back to the operator.
Operator:  Our first question comes from a lineup of Sohrab Movahedi with BMO Capital Markets.
Sohrab Movahedi: Thank you. I just had a three hopefully quick questions or clarifications. On the transition fund, I think you mentioned about $7.5 billion dollars. Is that something that would have been contemplated as part of the bigger $100 billion number that was talked about, or would that be additive to it? The second question is around what Adrian was just talking about. I wanted to clarify, Adrian, did you say the portfolio has about $3 billion in equity but generates about $600 million in operating cash flows annually? And then the third question, I guess, a sense I got is that it's a very good market for dispositions and realizations. And I wanted to see, Nick or Bruce, if you could handicap how that toggles with you being able to deploy that $33 billion of capital which can become fee bearing when committed? So as we look on to 2021, is it going to be more a year of realizations and dispositions? Or is it going to be more of acquisitions and capital deployment, or how should we think about that? Thank you.
Nick Goodman: Okay, thanks. So maybe I can go with the first and the third. And then the question for Adrian, clarification we can jump in at the end. So on the transition fund, when we laid out the 100, I assume the 100 you're referring to the next round of flagship fundraising. When I think when we laid out that target, we would have envisaged that renewable investing would become a larger component and either would be a part of the next flagship infrastructure fund or we could go about raising a new strategy. So I would just think about this, we used to have before this, we would have had four flagship funds being an infrastructure private equity, real estate and our distressed credit fund, now I think almost a five flagship funds. And this is just an evolution and complimentary to the strategy. So I'd largely think of it as being helpful towards reaching that target of $100 billion in the next round of flagships, but then it will probably give us more scale for growth in the future. And then on your third question, on the interplay of dispositions and putting capital to work, obviously, we're in a market right now, as we touched on, the public markets are obviously very strong right now. And the private markets are very strong, given the abundance of capital and low rates, and search for yield and growth. So I think, given the quality of our assets, it's obviously very logical for us to be looking to monetize the value we've created. And we do have a number of funds, earlier vintage funds or funds with assets have crystallized or delivered a lot of value, it makes sense to wait to crystallize in the short term.  And that doesn't mean that we are not going to be able to put capital to work, we will look for ways to find transactions that will probably be away from the mainstream, where there is maybe a scarcity of capital, we can still put money to work for value. And although I would say that at this period of time, we're probably being more patient, the pace might be a little bit slower, given what's going on in the market. But I think we feel good and the pipeline is strong enough that we have conviction we'll be able to put the money to work, and we'll just do it in a disciplined manner.
Adrian Foley: And as for the question on cash flows and equity invested, yes, $3 billion, and that's an average of forecasted five year cash flows on land and housing.
Operator: Our next question comes from Cherilyn Radbourne with TD Securities.
Cherilyn Radbourne : Thanks very much, and good morning. My first question picks up on that last discussion there around capital deployment, it sounds like maybe there's been some change in your thinking just regarding the timing of investment opportunities that will arise as a result of the pandemic. Maybe you could just revisit your thinking on the scale of the investment opportunities that you're expecting.
Bruce Flatt: I'll make a couple of comments, and then Nick may make some more specific ones. But I'll just say that, generally, the market changes, we have to change with it and when we started 2020, it was a good market, and we were investing broadly across the world. The markets changed in March, and we started putting a lot of capital into the public markets. And come May, June, that ended. And so the first point I'd make is, we have to be flexible with our business strategies, and where we invest because the world changes, and we have to change with it. So we're always attuned to that. The strength of our organization, I think, is that we have broad global mandates and therefore we can pick our spots. And the second point I'd make and just as a broad comment, is that is that the markets are very strong in many things, and therefore we're selling or monetizing in this environment, because they may go higher, but it's just a good time to monetize a number of things. Irrespective of that, there still are many countries, many places, many businesses and many things that are not trading properly, and therefore we can put capital to work. So we do not worry that we have a lack of places to put money to work. On balance, though, I would say this is not a period where, in March, you could put enormous amounts of money to work into the public markets at distressed valuation.
Cherilyn Radbourne : Great, that's helpful. And then, thank you for the update on the residential business. I apologize if I missed this, but can you comment on how that business is carried within your invested capital under IFRS? And how that carrying value would compare to intrinsic value of the land holdings? And also just the timing of when the strong market dynamics that were referenced should start to flow into FFO?
Nick Goodman: I think our land and housing business on the balance sheets are directly held unlisted roughly about $3 billion combined. There are some projects within that that are more like investment properties or fair value, but most of it is just inventory held that depreciated cost of that value uplift comes through, as we look to sell those parcels over time. And so, there could be uplift on monetization over time, from there. On the realization into our financial statements of the strong operating performance and backlog that we have and you'll start to see that come through in the early part of this year, the first half of this year as we deliver on those lots and then crystallized the profit and the earnings into the P&L, we take a more conservative approach that as we deliver the houses or the lots, then you'll start to see that income flow through. So you should see a strong pickup in the contribution in 2021.
Cherilyn Radbourne : Thank you for your time. 
Operator: Our next question comes from Ken Worthington with JP Morgan.
Ken Worthington : Hi, good morning, and thank you for taking my questions. Assuming the BPY deal closes as expected, what do you see as the right balance of selling BPY real estate assets outright, versus the sale of these investments to new and existing Brookfield funds? And then there seems to be a tradeoff between how quickly Brookfield could sell BPY assets into new Brookfield funds. And the price that Brookfield might get by holding on to these properties for a more lengthy period of time. So this concept of time versus price, do you think there is a right balance when maximizing Brookfield shareholder values between time and price? Or is it obviously sort of one versus the other? 
Bruce Flatt : It's a good question, Ken. I think of the outright versus going into funds, we'll have to see how it evolves, we have a view that we have a portfolio of very, very high quality assets that should be attractive to clients. And over time, we should be able to create products around these assets that will be attractive. But as you see that will be balanced with some assets that it makes sense just to sell a rate, the exact breakdown of that it's hard to say it will be case by case. But I think to the second part of your question that will be disciplined. And we will look to do it for value. There are certain parts of the portfolio that even in today's climate, they still attract strong valuations. We sold an office building in central London in the fourth quarter at a very strong valuation, and there are other markets that are active, and then there are markets that right now are not as active and where you could sell assets would not be attractive.  So I think it will be a balance. And I think over time, we hope as we've communicated, to reduce our exposure to real estate over time, and it will be a combination of outright sales and creating new products. And I think it will just be disciplined. And you know, price versus time is a good question. I think the overriding principle would to be disciplined and crystallize what we think is a fair value for the assets.
Ken Worthington : Okay, thank you. And then we just had elections here in the US, infrastructure is a priority for the democrats here in the States. Can you talk if and if so, how a meaningful increase in US infrastructure investment could offer Brookfield both infrastructure investment infrastructure realization opportunities? Or maybe it's neither? 
Bruce Flatt : Yes, so look, I would say, maybe as a further backdrop, I'll even make it more broad than that, and then specifically comment on the US but governments around the world have spent slash invested enormous amounts of money to deal with COVID situation more than they ever expected to spend. There's only two ways out tax or sell assets. And when I say sell assets, what that means is sell infrastructure, sell infrastructure, or fund emphasize future infrastructure through doing it in a private method. And our belief is that globally, governments will need to do both, they will need to tax and they will need to sell infrastructure. And that sets a very constructive backdrop for both things you said, which is there will be other institutions that will want to buy fully completed infrastructure with long tailed cash flows, and that we can therefore have a good market to sell into. And there will be assets which are less perfect, or larger in size, or more diverse in nature that we can participate in and turn them into the first category. And so I think it's, there is nothing but good news on the supply for infrastructure coming over the next 10 years. And that specifically is in the United States, but also in many other countries in the world.
Ken Worthington : Great, thank you.
Operator: Our next question comes from Jeff Kwon with RBC Capital Markets.
Jeff Kwon: Good morning, Bruce, you actually kind of answered a little bit of the question that I was going to ask and with going back to just put governments kind of spending to try and deal with a pandemic, and then how you kind of fix that. My question was, I guess a little bit more is, have you done much work in terms of trying to figure out targeting preferred assets that you might want to try to invest from various governments globally? Have you had any discussions or governments kind of stuff there right now? Are they still kind of in just trying to deal with the pandemic mode? And kind of thinking about how to finance that a bit further down the road?
Bruce Flatt : The answer is, I'd say it's still early in the game. And these things don't happen overnight. It's not like, there isn't going to be a switch one day happen, and everyone's going to sell assets, but every month, increasingly, for a long time, more infrastructures has been going into private hands. And no one really sees it or knows about it. But every day that is happening. So I think just increasingly, more cities, more states, more countries, are going to be facilitating more private funding coming in to infrastructure and the follow on continues. So I think it's just it's happening every day. And you just don't really see it. And actually, I think our comment would be less drama. That is, with respect to it, the better it is. Because when there are big plans, often nothing happens. And therefore just the slow and steady monetization of infrastructure is the best way the countries can get it done.
Jeff Kwon: Okay, thank you.
Operator: Our next question comes from Bill Katz with Citigroup.
Bill Katz : Okay, thank you very much for the perspectives and taking my question today. Just kind of comeback maybe a little more tactical in terms of the FRE  margin, it looked like it was a very strong number for the fourth quarter, as I looked through the disclosure, doesn't nothing jumps off the page is unusual of size. So Nick, perhaps you could sort of think through just given the scaling of the flagship funds versus reinvestment versus maybe anything that's sort of running blow trinkets of COVID? How to think through the FRE  margin into the new year? 
Nick Goodman : Yes, sure, Bill. I don't think the messaging has really changed, I think we saw continued strong margins across the business. And I think on a blended basis, it's strong, we bake it out for you by Brookfield and oak tree and the oak tree margin was strong this quarter as they switched on more fee revenue during the year. Listen the perspective is the same and that we are broadening our product offering. We are launching new strategies, which will require investment professionals and the ability to service the clients and service them to the highest standard. Obviously, there will be leveraged as we scale up but I don't think anything has significantly changed to what we would have guided to the past or based on the growth we have in front of us. Maybe we are performed that slightly but nothing materially has changed as we move forward. 
Bill Katz : Okay, to two part follow up. And I apologize; a bit unrelated. This seems to be a little bit of back and forth with investors we speak to in terms of the economic flow through BPY. So the add one of what you're purchasing was being made to sort of summarize sort of how you sort of see the interplay between the invested capital versus the FRE  give and take, and then just sort of stepping back and I'm so intrigued by your commentary on the residential mortgage side, maybe just an update strategically of how to further tap into the US retail market, similar to some of your peers. Thank you.
Nick Goodman : Yes, sure. The economic flow through on BPY, I think we've discussed and we will have to update this as we work through that process. Obviously, there is the fee paid out of the business today, when we announced we announced that we would have partners in the transaction with us as we work this through with our partners, we will firm it out but just now we expect that that BPY entity continues to pay fees like it does today. And as that evolves will confirm, but that's our expectation. And as the return on invested capital, we expect BPY to continue to pay cash distribution to Brookfield consistent with what it does today. So that's the basic working assumption. And for now and obviously the business is performing well cash flow is strong, and has no reason to change that outlook as we look for forward. The second part, remind me the second part of the question?
Bill Katz : Yes, I have such a nested set of questions. I'm just so curious, translating some of these great performance great products into potentially tapping a little bit deeper into the US retail market.
Nick Goodman : I think what we're doing on that is probably consistent with our peers, I think when the partnership, and that we have with oak tree, we now have a really diverse range of products that are appealing to that broader market. And we've been leveraging what we have on the Brookfield side and our distribution capabilities, and to really try and grow that. I think about 7% to 8% of our fee bearing capital today comes from that high net worth retail channel. And we'll be looking to grow that over time. And we've been, developing and thinking about new products that could cater to that market. So I think it will be an important component of future fundraising. 
Bill Katz : Thank you.
Operator: Our next question comes from Andrew Kuske with Credit Suisse.
Andrew Kuske : Thank you. Good morning. The question really relates to the velocity of capital flowing through your business. And this is the private asset management business, it's really on the res deploy and monetization cycles. And can give us maybe a quick snapshot on organizationally, just the evolution you've seen from where you were 10 years ago? And where you think you'll be five years from now? Where do you need to work? Is it on the distribution side? Is it on the investment professional side? Just give us a bit of color on that that would be helpful. 
Bruce Flatt : Yes, and look, Andrew, I'd say we need help everywhere to make it specific. No, one's ever perfect. But the good news is, we've grown the business methodically over 25 years. And I guess I would just say, well, we need to be pay attention to all we're doing, I think, we keep growing methodically, each one of the businesses and adding 10 gentle businesses onto it at a pace where we can handle it and both from a capital perspective and also from a management perspective. So look, I think we have one of the, we have a very, if I made two specific comments, we have a very honed and refined investment process. We've only been, and that's been many, many, many years, we've been refining that. On the asset management distribution side, we're 20 years young, and we can still grow and become more effective at that. So I'd say if we had one spot where we can be probably do a lot better, even though I'd say we're pretty good is on that side. 
Andrew Kuske : Thank you for the comments. And if I may ask a follow up, then it's different, but also a little bit related. Obviously, your home building business, which you profile today, has evolved over the years. And what's the next iteration of that home building business is in the past, you've had other public entities , I might be missing one. But I think those are the three majors. How do you how do you think about that businesses off the balance sheet at some point, either in a public company or private company and or co-investors? What are the options for the business? 
Bruce Flatt: Yes, it Look, it's a good question. And the point I'd make is that over the years, we've found that some businesses are good in the public markets, and some not so good and the housing, we have a housing business, but the real business we have is land development, and where you make all the money is land development. And it's highly profitable, but it's highly irregular. And because of that, it doesn't accord to the public markets. And therefore it will either be private on our own balance sheet or at some point in time, we may introduce institutional clients into it because they're private and they can understand what I just. They're willing to deal with what I just described as opposed to the public markets. So you will likely not see for us, I never say never but you will likely not see from us a public entity in land development.
Andrew Kuske : That's great. Thank you very much.
Operator: Our next question comes from Alex Blostein with Goldman Sachs.
Alex Blostein : Hey, good morning. Thanks, guys for taking the question. I was hoping we'll get spend a couple minutes on the path for management growth this year. It sounds like the fundraising momentum is going quite well. We've seen the same for many of your peers. So as you work toward the flagship super cycle. Maybe kind of walk us through your management fee thoughts for this year and perhaps next year? 
Nick Goodman : Yes, so I think Alex is we look forward to it can be lumpy, right? Like, it's going to be step changes with each fund that comes in, which is why we kind of like to look at over a cycle and over a longer period of time. And so I think what we're working towards is consistent with what we would have laid out at investor day, which kind of had our FRE , if we are able to achieve the fundraising targets that we've laid out, that path would lead towards doubling of FRE  for the next five years. And those step changes will largely come in line with the closings of those flagship funds.  And as we said, you know, our opportunity, the debt opportunity fund, had first closes should have a final close in the coming months, we've launched the next real estate funds, and transition fund is launched and infrastructure and private equity, I would say within the next 12 months, conservatively. So I think that's going to be what's going to lead to the step change and the revenue. And when you think about it in a five year period, that's what leads to kind of thinking about doubling, while at the same time we continue to grow the other strategies in our perpetual cost and vehicles. 
Alex Blostein : Got it. Okay. My follow up is around BPY. And I think you partially answered that question a little bit earlier. But just thinking through the dialogues you guys are having with third party LPs today. And now the deal has been out there for a little while, what sort of the appetite may be in the expectation you have for third party capital to participate in the transaction? And if you could remind us, again, your expectations on how these deal will ultimately impact FRE  for BAM. I know, there's a couple moving pieces there. But I think you talked about that being generally neutral in the past. I'm just curious to get your updated thoughts. Thanks. 
Bruce Flatt: Sure. I mean, listen, I think what we've laid out, Alex is that we have a plan to privatize the business, believe the offer, right, there is a fair offer. But that will work its way through the process. And believe that we can deliver significant value as for that business in the private form, and we kind of laid that out in the letter, as this quarter. And so I think what we were careful is there, you know, we have clients that are interested in this portfolio, would be recognize its value and its attributes some would like to invest, and we're having those discussions, and we will give updates on them as they evolve. But we're balancing that against wanting the flexibility to be able to execute our plan. So we have to strike the balance between raising capital, and still having the flexibility to execute the business plan. So as that evolves, we will keep you posted, all I can see is for some of our strongest clients, this transaction has definitely piqued their interest, we'll see how those discussions evolve. On the FRE , you know, on the FRE  impact and development, again, it's going to be influenced by how much third party capital we raised now. But I think over time, we expect to see new fun form creation around some of these assets, new strategies. And that will bring back some of the FRE  through, and in probably in higher form in private form, where fees are based off of enough unless only public price has been trading at a discount to NAV. So we think we create has as higher quality revenue stream over time. And that will be very long dated, or potentially perpetual. And one that's based off a true market value. But the exact numbers again, will evolve over time. And for now, we've just been kind of thinking about maintaining existing fee streams with BPY maintaining its current form with some clients investing into the corporate entity. 
Alex Blostein : Great, thanks so much.
Operator: Our next question comes from Robert Lee with KBW.
Robert Lee : Great, thanks. Good morning. Thanks for taking my questions. You know, maybe first one, you know, Nick is thinking about in the past or I mean, a couple years ago, a year or two though, you guys have laid out that you kind of expect that or thought that it would pretty much double no over a five year timeframe. So you know, move forward in a year, cash flow strong, your outlook is pretty good. You know, care of adventure like should we be thinking that your bills, you're pretty much set up to kind of get this that mid-teens plus cash flow growth over the next five years and the reason that's expected that's the trajectory. 
Nick Goodman : No, I think Rob, that was still be the trajectory, again, consistent and be laid out in September. But that would still be the consistent outlook. 
Robert Lee : Great. And then, maybe a little bit of a housekeeping question. Just update us on where things stand with the BAM stock and the spin out of that to shareholders.
Nick Goodman : Yes, so listen, we're working through the process and failing the requisite documentation and working with the regulators. So I expect, I think the first half of this year, the original timeline that we laid out which there'll be the rough expectation on that spin out. 
Robert Lee : And then maybe one last question, I appreciate your patience. This is just on the potential core real estate products, I think you mentioned in the letter that maybe this run $12 billion of committed capital knows , but it's a small piece of the puzzle, but growing and important, any sense of kind of what the flows had been, or the new commitments to that kind, is it kind of a steady pace, quarter to quarter and, you know, just trying to get a feel for how much it's maybe grown in the past couple of quarters. 
Bruce Flatt : So it's Bruce, the perpetual infrastructure, and real estate products are income replacements for institutions. And I would say, these type of products, being high cash return relative to other fixed income and some appreciation, but very low risk, are highly attractive in the worlds that we are in today. And I think they're going to keep growing for a while, we have significant money coming into our infrastructure business at the current time, real estate, just because of the sentiment that's out there. We have less capital coming in. But I think you're going to see that change, as the market resolves itself over 2021. But these are both highly attractive products for people. And I think you'll continue to see money flow into them. 
Robert Lee : Thank you very much for taking my questions.
Operator: Our next question comes from  Robinson with CIBC.
Unidentified Analyst: Thanks, morning, everyone. Nick, let me just circle back on like the BPY. Conceptually, if you were to look at sort of doing away with a dividend and not sort of rolling that up to the parent company and keeping it at that OPCO  level, is there some tax savings? And it may be too early to answer that, and with that, then naturally agree to the plan value as opposed to an earnings stream? And how would you think about that going forward?
Nick Goodman : Dean , I don't think there's anything material in that. I think BPY is going to continue to generate strong cash flow. It has reinvestment opportunities consistent with today. But in excess of that, I think you should expect to see continued distributions, and I don't think there's any material and tax analysis really to be done around data, we change our thinking.
Unidentified Analyst: Okay, great. That's it for me. Thanks.
Operator:  Our next question comes from Brian Bedell with Deutsche Bank.
Brian Bedell : Great, thanks good morning folks. Most of my questions have been asked and answered. But maybe just a couple more, maybe just one more on the cadence of the fee revenue growth, maybe just some perspective on obviously, we'll get to step function and growth in fees from the new fund launches, but also on the deployment. Sounds like you're being more patient of that, so just wanted to get a sense of that $330 million of committed capital that work its way into fee paying AUM. If you think that sort of is going to move up or maybe roughly around the same pace as the fundraises or be sooner or later?
Nick Goodman : Yes, I think Brian that's divorced from fundraising that would be capital that's raised and committed today. A large part of it would be things like the latest distress that fund or capitals pays on invested, as opposed to committed but that capital . In that fund, we're seeing very good investment opportunities I believe are over 40% invested or committed in that fund. And despite the broader strength in the public markets are still seeing strong private lending opportunities. So I think we expect to see a decent continued cadence of investing of capital there. And the balance would be stuff in our funds where we hold capital back, because we have follow on investment opportunities. So not necessarily thinking about new opportunities, but it's about follow on investment opportunities into assets we already own, or development we've already committed to. So you should expect to see that capital being, as you know, steadily invested over the next couple of years.
Brian Bedell : Okay, that's helpful, maybe just one on the global transition fund, maybe longer term. What do you view as the addressable market for this, obviously, there's a lot of momentum in moving towards net neutrality, or net zero. And clearly a large market for more assets to be invested but obviously, $7.5 billion is a nice as a large fund to start with. If you can maybe just give us your thoughts on what do you think the longer term addressable market is, for these types of investments, and whether you think you might be able to actually create more funds without going through the investment period on this one?
Nick Goodman : On the last point, I don't know, we'll have to see when we create a fund will invest that capital, and then we'll move on to another one, how quickly we invest the money we'll have to see. As to the addressable market, we think it's very large. And we think that given our position, and given what we've done with our business over the years, as you may know, we were a very carbon intensive business 25 years ago, and today we're at zero. So it having that pedigree we think we can assist companies, we have the operational ability to do it. And what we have is capital to provide to businesses to assist them do this. And so we'll have to see how big it is. But we think there's going to be a lot of opportunity in this transition. And it could become a very large business for us. 
Brian Bedell : And that's great perspective. Thank you.
Operator: That concludes today's question and answer session. I'd like to turn the call back to Suzanne Fleming for closing remarks.
Suzanne Fleming : Thank you, everybody, for joining us today. And with that we will end the call.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.